Operator: Good day, and welcome to the SWK Holdings Fourth Quarter and Full Year 2022 Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Jason Rando, from Tiberend Strategic Advisors. Jason, please go ahead.
Jason Rando: Good morning, everyone, and thank you for joining SWK Holdings fourth quarter and full year 2022 financial and corporate results call. Earlier this morning, SWK Holdings issued a press release detailing its financial results for the three months and full year ended December 31, 2022. The Press release can be found in the Investor Relations section of swkhold.com under News Releases. Before beginning today's call, I would like to make the following statement regarding forward-looking statements. Today, we will make certain forward-looking statements about future expectations, plans, events and circumstances, including statements about our strategy, future operations and the development of our consumer and drug product candidates, plans for future potential product candidates and studies and our expectations regarding our capital allocation and cash resources. These statements are based on our current expectations, and you should not place undue reliance on these statements. Actual results may differ materially due to our risks and uncertainties, including those detailed in the Risk Factors section of SWK Holdings 10-K filed with the SEC and other filings we make with the SEC from time to time. SWK Holdings disclaims any obligation to update information contained in these forward-looking statements, whether as a result of new information, future events or otherwise. Joining me from SWK Holdings on today’s call are Jody Staggs, President and CEO; and Yvette Heinrichson, Chief Financial Officer. They will provide an update on SWK's fourth quarter and 2022 corporate and financial results. Jody, go ahead.
Jody Staggs: Thank you Jason. And thanks everyone for joining our fourth quarter conference call. Since appointment of the new leadership team we have made considerable progress positioning SWK for a multi-year period of value creations, of course much work remains. On today’s call I want to update you on four areas of focus; growing the team in anticipation of scaling the business Enteris capital and the portfolio. Before discussing the four areas of focus, I want to briefly address the current life science finance market environment. The past month was a period of upheaval in our industry with the Gold Standard Bank collapsing in a matter of days and other banks active in our space either collapsing or under considerable stress. SWK had no direct exposure to SVB via deposits or share credit facilities. While some SWK boards have deposit exposure, none had undrawn credit lines or revolvers of SVB. Of course disruption drives opportunity. SWK intended to scale our business prior to the turmoil, however the SVB bankruptcy drives new urgency as they are building for SWK to deploy capital is as attractive as it’s been over the past decade. Quantifying we are currently issuing financing proposals at a mid-to-high teens cost above our historical low to mid-teens cost. Our first priority has been expanding our investment team to increase deal sourcing and underwriting capability. I am pleased to announce we have achieved this goal of four investment hirers since the second half of 2022. Recently we hired a dedicated business development professional who comes from a large private equity firm, also a former SWK investment professional will be rejoining the team this month. We believe the investment team is now staffed appropriately to close transaction volume in excess of the approximately $100 million we achieved in 2022 positioning SWK to responsibly grow our finance business over the next several years. Turning to Enteris. When we knew SWK leadership team took the reins we spent considerable time reviewing the financial and operational trends at Enteris. We identified several valuable assets, but also a business that was burning too much money and where the business plan was not aligned with the original mission, nor our current expectations. We took immediate steps to change Enteris direction and reduce burn. First replaced the CEO with the COO, Dr. Paul Shields. Second, we reduced the headcount by approximately 50%. We have spent time with Paul and his team reforecasting the business and modifying the business plan. Paul and the team have done an outstanding job of repositioning the business in a short period of time to both reduce costs and work towards securing sustainable CDMO revenue. On the cost side, we expect cash OpEx will decline from approximately $2.6 million per quarter in 2022, to roughly $1.5 million per quarter by the third quarter of 2023. This was driven by the headcount reduction as well as the completion of R&D spend for two proprietary 505b2 assets.  On the revenue side, Enteris has developed informal partnership with a large pharma service company that is helping us source CDMO work. While the initiative is early, existing CDMO bookings will generate approximately $1 million of revenue in 2023 and we have bid on another $6 million of work. The combination of decreasing costs combined with the potential for improved revenue is expected to drive improved cash flows by the second half of 2023. I’d like to briefly discuss how we think about the value on Enteris. There are four major assets. The first is the Cara license and associated future cash flows. And at this stage, this is primarily a financial asset. And again, the Cara license is tied to Oral KORSUVA, which Cara is studying in three late stage clinical trials. The cleanest look at the value of this asset on our balance sheet is actually the $11.2 million of contingent consideration and on our balance sheet, that's a liability. So this is a little confusing. That is the 50% of the cash flows owed to the original Enteris seller. Now this is an accounting driven valuation and it's not where we would sell our portion. However, it's in the right zip code. The second asset is the Peptelligence intellectual property. And as a reminder, Peptelligence converts certain IV drugs into oral dosage. And this is the asset which originally drew SWKs attention to Enteris. At this point, there's three primary pieces of value associated with Peptelligence. The first is we do have an additional existing license on a clinical stage drug that carries a low single digit royalty. We haven't discussed this asset in the past as it was not being developed. However, recently, a well-funded private pharma company has acquired the asset and is launching clinical trials. The second piece is we do have another biotech, that’s the later stage discussions to take a license. There’s no certainty this will close but I think it illustrates the Peptelligence value in the market. The final piece of value here and really what's probably the largest piece is the remaining value, if Enteris or another third party could close other licenses. And as we’ve disclosed with Cara these licenses carry material cash flow to Enteris. The third piece of the value is the CDMO in the plant. Driven by the work of Paul, Tom Daggs and the entire team, we now see a path for this business to have more value than simply the PP&E on the books, which totaled $5.8 million at December 31. While early days, we’re optimistic about the potential for the CDMO business and we’ll update you throughout the year on the progress. And then the final and the fourth piece of value at Enteris is our two proprietary 505b2 drug assets. The first of these assets is oral leuprolide for a semi rare pediatric indication. And we did get some positive news last month as the Phase 2 trial was successful with some doses of Ovarest achieving the primary endpoint of estradiol suppression. We are reviewing the full data set and we’ll be able to provide a further update later this year. The second 505b2 asset is a nasal psychiatric product. We’re finishing up preclinical work that any licensed partner would want to see before transacting. SWK does not currently expect to fund additional R&D dollars into this programs. Instead, as the trial work is completed and the data analyzed, we will partner -- seek to partner to fund the next stages of development in exchange for downstream economics to Enteris. Turning to the third priority capital, we are working diligently to secure both balance sheet and off balance sheet funding to deploy into an attractive opportunity set. While we do not have a specific development today, this is a priority for management as one of our incentive compensation metrics for 2023. Turning to the portfolio, we ended the quarter with approximately $238 million of investment assets, which is an all-time high. During the quarter we closed a royalty transaction, which including associated foreign exchange hedge totaled $18.1 million and put an additional $6 million to existing borrowers. In the first quarter of 2023 we have closed one $5 million term loan and advanced approximately $8 million to existing borrowers. In the fourth quarter, we sold the remaining interest in our Narcan royalty for $2.5 million, which was in excess of the $500,000 book value at the end of the third quarter. This was a phenomenal investment for SWK generating a 2.4 times multiple on invested capital. SWK also sold shares in Bioventus and Harrow Health generating approximately $4 million of proceeds. During the quarter, we fully reserved our TRT position which totaled $3.5 million. And then at 12, at December 31, we had $18 million of finance receivables on non-accrual which is approximately 7.5% of the investment portfolio. We are working with two of these borrowers to position each business for success and we’ll update once resolution is achieved. Or [indiscernible] is driving value per share and repurchasing stock below book value is beneficial to this goal. During 2022, SWK repurchased approximately 64,000 shares at an average cost of $17.78 per share under our 10b5program. Since the start of 2023, SWK has repurchased roughly 30,000 shares at an average repurchase price of approximately $18.51. Before returning the call to Yvette, I want to thank Wendy DiCicco for her contribution to our board of directors. Wendy chose not to seek re-election to the Board of Directors due to external professional commitments. Wendy is a talented business executive and contributed considerably to SWK with a particular emphasis on improving our executive compensation plan to better align with shareholders. I also want to welcome Jerry Albright to our Board. Jerry has an impressive professional resume including serving as a CIO of Teacher Retirement System of Texas. Welcome, Jerry. With that, I would like to turn the call over to our CFO, Yvette Heinrichson for an update on our financial performance for the quarter.
Yvette Heinrichson: Thank you, Jody. Good morning, everyone. And thank you for joining us. SWK had a solid fourth quarter that was in line with expectations. As of December 31 2022, SWK’s total investment assets grew to approximately $238 million, an increase of 25.4% from $190 million at the end of 2021. Please note that the quarter end figure does not include any portfolio movements post quarter end. At the end of 2022, the weighted average projected effective yield of our finance receivables portfolio, including non-accrual positions was 13.9%. This represents an increase of 0.9% from a year ago. Fourth quarter realized yield on finance receivables was 11%, which was impacted by the $3.5 million reserved on our TR position TRT positions during the quarter. As Jody mentioned earlier, as SWK reported non-GAAP tangible finance book value per share at $19.02 at the end of 2022, an increase from $18 from the prior year. This figure excludes deferred tax assets, intangible assets, goodwill and the contingent consideration payable. Management needs tangible finance book value per share as a relevant metric to value the company’s core finance receivable segment. The finance receivable segments adjusted return on tangible book value was 9.9% for 2022 versus 14.2% for the first year. In the fourth quarter of 2022, we recognized provision for credit loss expense of $3.5 million as well as a $5.2 million loss and change in fair value of acquisition related contingent consideration, which led to net income of $2.8 million or $0.22 per diluted share. This compares with net income of $6.3 million, or $0.49 per share for the fourth quarter of 2021. Revenue fell to $9.8 million in the fourth quarter of 2022 compared with $15 million in the fourth quarter of 2021 reflecting a $5 million decline in licensing milestone revenue adding tariffs. For the full year of 2022, SWK reported total revenue of $41.5 million, a decrease from $56.2 million from the prior year. Finance receivable segment revenue decreased to $6 million from $16.8 million from the prior year. Excuse me. Finance receivable segment revenue decreased to $35.5 million from $39.3 million from the prior year. The pharmaceutical development revenue decreased to $6 million from $16.8 million from the prior year, which reflected a $10 million decrease in licensing milestone revenue from Cara Therapeutics. GAAP net income for 2022 totaled $13.5 million or $1.05 per diluted share, compared to $25.9 million or $2.02 per diluted share for full year 2021. I'll go ahead and turn the call back over to you, Jody. Thank you.
Jody Staggs: Thanks, Yvette. As you’ve heard, the current opportunity set presents an attractive opportunity for SWK in our financing solutions. We are focused on taking the actions to capitalize on this opportunity and drive per share value. With that, let's open the call to questions.
Operator: [Operator Instructions] We have a question from Scott Jensen, one of private investors. Please go ahead, Scott.
Unidentified Analyst: Good morning, Jody. Thanks for the update. I guess you went over a lot of the questions that I was going to have for Enteris because I had noticed on Enteris’ website, that you’re partnering with Aptar, for nasal and oral liquid delivery. And I’m just guessing that’s the large pharmaceutical company in the CDMO space. What is that kind of relationship? Is that, are you giving up royalties? Or how should we view that partnership? I guess is the first one and then you kind of updated all the other things I was going to ask on Enteris, so thank you.
Jody Staggs: Yes, absolutely. Yes, no, I appreciate it. I -- I don’t want to say much. And I would prefer not to not to confirm or deny, it’s good. What other websites on the website, I think the working with on the CDMO businesses is we’re really focused on driving, earlier stage CDMO work through the plant. So the team has really, they really have an expertise in working with powders, and being creative and solving problems with powders, and that can be peptides that can be high potency things that maybe nasal. And as we’ve looked at the assets, we’ve got the IP and some of the proprietary stuff, but we also have, CDMO capabilities, and that is really interesting for those of you who follow the space. It’s a very attractive industry, very sticky, nice high margin work once you’ve got that fixed, fixed infrastructure there. So the focus is really working with Paul to try to build a diversified set of CDMO revenue in business. So that that’s, that’s what we’re really targeting there.
Unidentified Analyst: Okay, thanks. And I guess my second question is just watching one of your portfolio companies of BIOLASE, who seems to be doing like a fantastic job in the dental space, but their stock just keeps getting, like destroyed. I’m wondering if there are like other opportunities in this kind of market, as you say, dislocated that you have an opportunity to go back to some current clients and seek non-dilutive financing for them.
Jody Staggs: Yes, so the answer is yes. I’ll say yes. And once we’ve, really dug in on the company, we’ve learned how they operate. We’ve got to know management, we kind of -- you kind of know what the skeletons are. Those are situations that we are open and do like putting additional money in. It takes time to really, really understand what’s going on in the company. Now, that said, there has to be some discipline in terms of how many times you do it, how many times you touch these things, and some sometimes have to tell folks, hey, sorry, we’ve done all we can do here and really you need to go raise equity. So I would say absolutely, yes, we’ve over the years we’ve worked with our existing borrowers to upsize facilities. Those have been some great deals for us, but at the same time we have to have disappointment in sometimes tell folks, sorry we can’t do anything else for you.
Unidentified Analyst: Okay. And then finally on, you’re building out the staff, how should we look at that as far as the costs going forward for SG&A?
Jody Staggs: Yes, I think we’re, we’re pretty well done here. I was looking at this before. 2022, we had a lot of onetime costs, there was a lot of legal costs and separation costs and things, right. I think I would say, I’m looking at our G&A number, maybe it’s something in the $8 million a year, I think, would be more than enough. So it’s not really going to move a lot versus what it has been talking about adding, three to four – I guess four investment professionals over the years. You could probably figure out what those people typically earn in the Dallas market. So I was sort of, I think, first quarter 2023, we’ll be able to kind of show you what the runway run rate is. The 2022 was extremely lumpy with a lot of onetime costs. And it’s a little bit hard to hard to say, but it’s going to be in that kind of $7 million to $8 million range, I think on a go-forward basis.
Unidentified Analyst: And then my final thing is I say, keep buying back stock. Thank you for that. But looks like they’re going to keep presenting your opportunity.
Jody Staggs: Yes, I appreciate that. We’ve been a little frustrated. We cannot lie that, there’s rules in this 10b5 program with the algorithm and with the trailing volume. So we are, we’ve got a lot smarter on the 10b5 and 10b18. And we’re hopeful that going forward, we can do a bit better there. But now, yes, at these prices, we think it’s a great use accountable.
Unidentified Analyst: Great, thanks.
Operator: [Operator Instructions] Our next question comes from William Kok from another private investor. Please, William, go ahead.
Unidentified Analyst: Good morning, everybody. This is Bill Couch [Ph]. I own some, some shares, I live in Connecticut. I was wondering if you have any idea what the potential annual revenues for an oral leuprolide drug would be?
Jody Staggs: Hey, Bill, thanks for the question. I think, I do get a call. I get questions on this periodically. I think one thing that I would just sort of state is this is not we’re not studying for broad women’s health conditions, uterine fibroids or endometriosis. Leuprolide is a GnRH agonist. And this is kind of the Gen 1 version of treating these conditions. And that market has moved on to the 2.0, which is the antagonist. And if you look at like a relagolics [Ph] that is really where that market has gone. So this is not a billion dollar type opportunity. The indication we’re studying for is we think it’s pretty interesting. It is sort of a semi rare pediatric indication. It’s not rare, it’s probably not an orphan. But the market we’ve looked at is, it’s going to be in the low hundreds of millions of dollars type opportunity.
Unidentified Analyst: Thank you.
Operator: [Operator Instructions] This concludes our question-and-answer session. I would like to turn the conference back over to Jody Staggs. Please go ahead with any closing remarks.
Jody Staggs: Yes, thanks for everyone joining the call. Thanks for the questions and you can please reach out to myself or Yvette with anything else and hope everyone has a great day.
Operator: And this concludes the conference. Thank you for attending today’s presentation. You may now disconnect.